Operator: I would like to remind you that all lines are in a listen-only mode throughout the presentation. Please press star and then two. Please note that this event is being recorded. I will now hand the call over to Scott Gaffner, SVP, Investor Relations, to begin.
Scott Gaffner: Thank you, and good morning, everyone. Before we get started, I want to remind you that certain statements made on this call contain forward-looking information. Forward-looking statements are not guaranteed to performance and by their nature are subject to uncertainties. Actual results may differ materially. Please see our webcast slides and the company's SEC filings for additional risk factors and disclosures. Any forward-looking information speaks only as of this date and the company undertakes no obligation to update the information to reflect changed circumstances. Additionally, today, we will use certain non-GAAP financial measures. Required information about these measures is available in our webcast slides and in our press release, both of which are posted on our website at wesco.com. On the call this morning, we have John Engel, WESCO International, Inc.'s Chairman, President, and Chief Executive Officer, and Dave Schulz, Executive Vice President and Chief Financial Officer. I will turn the call over to you, John.
John Engel: Thank you, Scott. And good morning, everyone. Thank you for joining our call. We are pleased with our return to sales growth in the fourth quarter. It was sparked by accelerated growth in our global data center business, which was up more than 70%. In addition, we had 20% growth in our broadband business, and we had renewed positive sales momentum in our electrical and electronic solutions business. I think it's important to note that for EDS, this marks our first quarter of growth since early 2023. Now, this sales growth momentum was partially offset by a slowdown with our industrial customers, especially in the last two weeks of December, and what we expected, the continued weakness in our utility business. With that said, our positive momentum overall has carried into January, and our preliminary sales per workday adjusted for M&A is up 5% versus the prior year. Our opportunity pipeline remains at a record level. Our backlog remains healthy, and our bid activity levels remain very strong. On a full-year basis, organic sales were roughly flat with the prior year, and gross margin was stable. Although we experienced some pressure in communications and security solutions, as sales ramped to data center customers on project deployments. Consistent with our past practice and experience, we expect to improve CSS margins as we move through the data center lifecycle. Dave will address this in more detail shortly, including the actions we are taking to improve CSS margins in 2025. Now turning to free cash flow. Our continued focus on effective working capital management yielded strong benefits again in the fourth quarter as we generated $268 million of free cash flow and drove net working capital intensity down significantly versus the prior year. On a full-year basis, we exceeded our expectations and delivered record free cash flow of more than $1 billion or 154% of adjusted net income. Overall, key developments in 2024 set us up very well for future margin expansion and outgrowth relative to our market and to our peers. First, we made excellent progress on our enterprise-wide digitalization efforts and our overall business transformation last year. We are more than halfway complete on our technology and capabilities build, which once deployed is expected to accelerate our earnings growth through greater cross-sell. It's expected to expand our margins to improve pricing and operating cost leverage, and it's expected to dramatically increase our speed to value on the integration of future acquisitions. Second, we materially strengthened our WESCO portfolio through both divestitures and acquisitions. Early in 2024, we divested our integrated supply business, which drove a positive mix shift for UBS. We also acquired three service-based businesses, including Ascent, which closed in December. I think you'll all recall that Ascent is a premier provider of data center facility management service, and it enables us to provide additional value throughout and across the entire data center lifecycle. These strategic portfolio moves, that is divesting a low-margin business and adding higher-margin services businesses, are integral to achieving our 10+% EBITDA margin goals. Third, in addition to generating record free cash flow in 2024, we also reduced our net debt by $431 million, repurchased $425 million of shares, and increased our common dividend 10% after initiating it in 2023. Now moving to 2025 and our outlook. We expect organic sales to grow 2.5% to 6.5% and operating margin to expand as all three business units are expected to deliver profitable growth this year. We expect to generate $600 million to $800 million of free cash flow. And I'm pleased to announce that we plan to increase our common stock dividend by 10% again this year to $1.82 per share while continuing our share buyback program. We also expect to strengthen our balance sheet by fully redeeming our outstanding preferred equity in June, which will improve both our cash flow and our earnings per share. As we outlined in our recent investor day, we are committed to substantial value creation from operational improvements, our digital transformation, and our overall capital allocation strategy, including additional M&A. As we look to 2025, our pipeline of strategic acquisitions remains strong, and it's aligned with our goal to increase our service offerings to our customers. We are well-positioned to deliver outsized growth due to secular trends of AI-driven data centers, increased power generation, electrification, automation, and reshoring. And, importantly, we remain laser-focused on our enterprise-wide margin improvement program, which has been a historical strength for WESCO. I'm confident that WESCO will outperform our markets again this year. And we are well-positioned to deliver improved sales growth and continue toward our long-term EBITDA margin expansion goal. Finally, I continue to be very proud of our talented and dedicated WESCO team who remain steadfast in executing our strategic plan to capture the significant value creation opportunity in front of us. And we are doing this as we realize our vision of becoming the best tech-enabled supply chain solutions provider in the world. So with that, I will now hand it over to Dave to take you through our fourth quarter and full-year 2024 results as well as provide a much more detailed look at our 2025 outlook. Dave.
Dave Schulz: Thank you, John, and good morning, everyone. Turning to page four, I'll walk you through our fourth quarter results. Sales were below our expectations with a considerable drop-off in the latter half of December. Organic sales in the quarter were up mid-single digits through the end of November. Sales per workday were trending positive in December before dropping high single digits versus the prior year in the last two weeks of the month, finishing down low single digits. In the fourth quarter, market weakness continued in utility, industrial, and enterprise network infrastructure. We saw strong growth in Canadian broadband and again delivered exceptional growth in our WESCO data center solutions business. Reported sales in the fourth quarter were flat year-over-year, organic sales were up 2%. Price contributed approximately 1.5% versus the prior year, with volume growth just under 1%. In addition, reported sales were negatively impacted by approximately three basis points from the divestiture of integrated supply and foreign exchange rates. These headwinds were partially offset by the benefit of an additional workday. On the lower half of the page, you can see the adjusted EBITDA impacts of higher sales, offset by lower gross margin and slightly higher SG&A. Gross margin was down 20 basis points from the prior year, including a headwind of approximately 30 basis points from lower supplier volume rebates. Adjusted earnings per share of $3.16 was up 19% from the prior year. Turning to page five. On a full-year basis, sales were down 2.5% on a reported basis and down 0.5% organically. Price contributed about 1.5%, which was offset by lower volume and a 190 basis point cumulative impact from acquisitions and divestitures, differences in foreign exchange rates, and the benefit of two additional workdays compared to 2023. On the lower half of the page, you can see that adjusted EBITDA was down from the prior year due to lower sales. Gross margin was flat with the prior year level as the benefit of the integrated supply divestiture was offset by lower supplier volume rebates. SG&A was up slightly, reflecting inflation, employee-related costs, and warehouse leases. Turning to page six. On the left side of this page, you can see that gross margin in 2024 was flat with the prior year at 21.6%. This reflects an increase of more than 200 basis points over the past five years. And we believe there is an opportunity for further margin expansion. The right side of the page shows that gross margin in 2024 varied by business unit. Both EES and UBS margins increased from the prior year and were up 10 and 80 basis points, respectively. A contributor to the 80 basis point increase at UBS is the direct result of our strategic portfolio shift, which resulted in the divestiture of the integrated supply business. In addition, the increases at EES and UBS reflect the positive impact of our enterprise-wide margin improvement program. As John mentioned in his opening remarks, the exceptional growth that we have experienced within our data center business has included participation in numerous large-scale data center projects. Some of these projects are direct ship, which have a lower gross margin. We believe that over the course of the data center lifecycle, we will improve margins with these customers as we provide additional products and services consistent with past experience. I'll be walking through our business unit results, beginning with EES on slide seven. Note that we have provided additional disclosure of gross profit and SG&A for each of our segments as this information will be provided in our annual and quarterly SEC filings starting in 2025. EES organic sales grew 1% in the fourth quarter. Reported sales were up 2%, which reflected the benefit of an extra workday compared with the prior year. We are pleased with the return to growth in our EES business. Construction sales were up low single digits in the fourth quarter, driven by a higher level of project activity that drove growth in Canada, CALA, and the U.S., offset by continued weakness in solar in the United States. Industrial sales were down low single digits. We delivered growth in Canada, offset by a weaker U.S. market, reflecting the broad-based industrial slowdown experienced across the market in the fourth quarter. OEM sales were up low single digits for the second consecutive quarter, reflecting improved momentum in the second half of 2024. Backlog was down 1% from the prior year and down 2% sequentially, in line with normal seasonality. In the table on the right side of this page, you can see that EES adjusted EBITDA margin was up 10 basis points from the prior year, reflecting improved operational efficiency and cost controls, with SG&A as a percent of sales favorable by 30 basis points. For the full year, organic and reported sales were down 1% due to low single-digit growth in construction, flat industrial sales, and a low single-digit decline in OEM. Gross margin was up 10 basis points, and full-year adjusted EBITDA margin was flat with the prior year. Turning to slide eight. CSS saw accelerating momentum in the fourth quarter, with sales up 11% year-over-year on an organic basis and up 14% as reported. The growth was driven by WESCO data center solutions, which grew more than 70% with double-digit growth across all three end-use customer types: hyperscale, multi-tenant data center, and enterprise. This growth has significantly increased the mix of data center within both CSS and WESCO overall. Within CSS, data center represented nearly 40% of sales, up from about 25% of segment sales in the prior year quarter. From a total company perspective, data center, which includes sales across all three business units, was approximately 16% of WESCO sales in the quarter and approximately 13% on a full-year basis. Note, this is an increase from the comparable 10% of WESCO sales that was shared at investor day, which was based on trailing twelve-month sales through June. Security sales were approximately flat in the fourth quarter, and enterprise network infrastructure was down in the quarter, reflecting continued softness in the wireless, construction cabling, partially offset by strength in our service provider business. Backlog was up 16% from the prior year, reflecting the substantial growth of our data center business, and down about 5% sequentially given the timing of large project shipments in Q4. Adjusted EBITDA margin for CSS was down 150 basis points versus the prior year, primarily reflecting the mix of large customer data center projects in the quarter with a lower gross margin that I mentioned a moment ago. For the full year, CSS sales were up 5% on a reported basis and up 4% organically. This growth was due to the exceptionally strong growth in data center build-outs in 2024. Turning to slide nine, I want to take a moment to discuss the growth in the broader data center space that we've seen recently and how we participate. We first provided the information on the left side of this page at our investor day last September. It highlights the two stages of the data center construction cycle: time to power and the construction maturity. The key takeaway is that projects that are announced today and have obtained funding will likely take about four to seven years before they would be up and running. The pipeline of data center projects continues to rapidly expand, especially within the mega project space. Based on data that we track, over the past two years, data centers have accounted for approximately 35% of the total megatrend investment, the highest by far among the sixteen categories we track. Our solutions now encompass everything from the electrical distribution systems to advanced IT infrastructure to services that support data center operations. We ensure that our customers have comprehensive solutions throughout all phases of the data center lifecycle. On the right side of the slide, you can see the substantial growth that our data center business delivered in 2022. This growth has been driven by organic initiatives along with substantial acquisition investments we've made to increase our exposure and service capabilities within the space. We continue to invest in capabilities, and in 2024, we added interest in Ascent to expand capabilities to service data center customers from cradle to grave, including on-site services and data center technology upgrades. Turning to page ten. As John mentioned at the top of the call, in December, we closed the acquisition of Ascent, a premier provider of data center facility management services. Headquartered in St. Louis, Ascent provides data center operators with highly specialized facility management services. Ascent strengthens our leading global data center solution portfolio for our customers by allowing us to further extend our end-to-end service offerings, including advanced liquid cooling design and implementation solutions. Turning to slide eleven. Organic sales in UBS were down 6% this quarter, and reported sales were down 17%, which includes the divested integrated supply business in the base period. As we discussed previously, the utility market continues to face headwinds from customer destocking and lower project activity levels. This is partly a function of the current interest rate and regulatory environment. We expect these impacts to continue into the first half of 2025, with a return to growth in the second half of the year. We remain highly confident in the future benefit from the secular trend of electrification, green energy, and grid modernization, and believe these trends will support substantial growth acceleration in our utility business over the long term. We are pleased with our return to growth in broadband in the fourth quarter. Broadband sales grew more than 20%, albeit against the prior year, which was down more than 30%, reflecting exceptionally strong growth in Canada. The Canada broadband business began showing signs of improving momentum. UBS backlog is down 25% from the prior year and down 10% sequentially. Adjusted EBITDA margin was up 40 basis points over the prior year. On a full-year basis, organic sales were down 5%, and reported sales were down 13%, reflecting the divestiture. Gross margin was up 80 basis points, as we discussed a moment ago. Turning to page twelve. In the fourth quarter, we delivered $268 million of free cash flow, or 156% of adjusted net income. This contributed to our full-year free cash flow of more than $1 billion, a record for the company and representing 154% of adjusted net income, which is substantially more than our previous cycle target of 100%. This has largely been driven by a reduction in working capital. I can point out that cash flow in the fourth quarter benefited from the timing of payments for tax credit purchases that effectively moved the $45 million cash payment from the fourth quarter of 2024 to the first quarter of 2025. You can see on the right side of this page that we reduced net working capital intensity by 160 basis points in 2024. We are pleased with this result and remain focused on making further progress, including reducing inventory as a percent of sales. In 2025, we expect net working capital to grow at half the rate of sales growth, which will further drive down net working capital as a percentage of sales. Turning to slide thirteen. This slide shows our 2025 outlook by strategic business unit and the individual operating groups. As John mentioned, we expect organic sales to be up 2.5% to 6.5% and reported sales in the range of flat to up 4%. With the difference driven by M&A activity along with headwinds from foreign exchange and workdays. Starting with EES. We expect 2025 reported sales to be flat to up low single digits. You can see that sales from all three operating groups were relatively flat. As we move into 2025, the expectation is that construction will be approximately flat, industrial will be up, and OEM will grow as the positive momentum we experienced in the second half of 2024 continues this year. Looking at our CSS segment, we expect 2025 reported sales will be up mid-single digits. We've already discussed the significant growth in data centers in 2024, which we believe will continue into 2025, with that operating group up mid-teens. We also expect security will be up, driven by a recovery from U.S. markets. Enterprise network infrastructure, which primarily sells into contractors, service providers, and communications end markets, has faced softness throughout 2024 in the slower 5G build-outs and construction-specific markets, particularly in structured cabling. We expect overall enterprise network infrastructure will be flat in 2025. Lastly, looking at UBS, our utility business was down throughout 2024 due to customer destocking and lower project activity. While we expect that softness to continue through the first half of 2025, our expectation is that growth will return in the second half of the year. As we have discussed previously, there is significant underlying demand for modernization investment in the grid, as well as investments in new generation, transmission, and distribution, to support growing power and electrical needs. Moving to page fourteen, let me walk you through the details of our outlook for 2025. Starting at the top of the page, we expect organic sales to grow between 2.5% and 6.5% for the year. Reported sales are expected to be flat to up 4%, including a foreign exchange headwind of approximately 1.5% due to rate differences primarily in Canada. Reported sales also include an approximately 1% impact from net divestitures and one fewer workday in 2025. Recall the divestment of integrated supply last April, which is partially offset by acquisitions completed in the second half of 2024. We expect adjusted EBITDA margin to be in the range of 6.7% to 7.2%. Recall that we are facing a 20 to 30 basis point SG&A headwind from the restoration of incentive compensation. Given the results in 2024, incentive compensation is below target, and we have assumed a target payout in 2025. Without this headwind, we are on track with the 20 to 30 basis points of annual margin improvement that we highlighted at our Investor Day. The upper end of this EBITDA margin range reflects both gross margin expansion and operating leverage on higher sales, while the lower end of the range reflects the impact of flat volume on operating leverage. Regarding gross margin, we expect to deliver some level of gross margin expansion in 2025, in part due to a slightly higher level of supplier volume rebates and improvement of CSS gross margin. Our outlook range for adjusted diluted earnings per share of $12 to $14.50 reflects year-over-year growth of 8% up initially. Note that we have also provided key modeling assumptions. I want to comment on a few specifics. Our outlook assumes that cloud computing expense will be approximately $40 million in 2025, up from $14 million in 2024. Consistent with historical results, cloud computing amortization is recognized as SG&A and not included in adjusted EBITDA. It is, however, included in adjusted operating income and adjusted earnings per share. Interest expense is expected to decrease in 2025 due to lower debt balances, and dividends on preferred equity will be reduced by half as we anticipate redeeming the preferred in June of this year. We expect to generate substantial expense savings by redeeming the preferred stock due to the difference between our expected borrowing rates and a 10 5/8% preferred dividend rate. Lastly, turning to free cash flow. We expect to deliver free cash flow between $600 million to $800 million in 2025. As a percentage of adjusted net income, this implies a range of approximately 95% to 105%. Regarding capital allocation, our strategy is unchanged. Our top priority is to invest organically in the business to drive growth and operational efficiency, including the completion of our business and digital transformation. After funding organic investments, our free cash flow will be allocated to the highest return option. We will prioritize acquisitions to continue to expand our capabilities and better serve our customers, particularly those engaged in high-growth end markets. We will continue to repurchase shares under our current authorization. Given our expectation to redeem the preferred stock, we would anticipate share repurchases will be opportunistic and well below the 2024 level of $425 million. Lastly, in 2025, we expect to increase our common stock dividend by 10%, or approximately an incremental $2 million per quarter versus 2024. Turning to page fifteen. This slide shows the year-over-year monthly and quarterly sales growth comparisons for the past two years. Our expectations for the first quarter versus the prior year, we expect first-quarter organic sales, excluding the net headwind of M&A and one fewer workday than the prior year, to be up low to mid-single digits. On a reported basis, we expect sales to be approximately flat versus the prior year. Preliminary January sales per workday, adjusted for M&A, are up about 5% from the prior year. Note that January of 2024 is the easiest comparable of the year. We expect adjusted EBITDA margins will be slightly lower than the prior year level of 6.4% as we continue to manage costs effectively in a mixed economic environment. Moving to slide sixteen. We've covered a lot of material this morning, so let me briefly recap the key points before we open the call to your questions. Now in the fourth quarter, we were at the high end of our outlook. Growth momentum in data centers continues to be exceptionally strong, and we were pleased to mark a return to growth in both broadband and our EES business unit. Full-year free cash flow was more than $1 billion, a record level for the company. In 2024, we repurchased $425 million of common shares and reduced net debt by $431 million. In 2025, we expect to deliver above-market growth and improved profitability. With that, operator, we now open the call to questions.
Operator: We will now begin the question and answer session. And our first question today will come from Sam Darkatsh with Raymond James. Please go ahead.
Sam Darkatsh: Good morning, John. Good morning, Dave. How are you?
John Engel: Good morning, Sam.
Sam Darkatsh: Two quick questions if I could. Help us with what gives you confidence with respect to your visibility into the second half recovery of the utility vertical. I know that the first quarter is the seasonal low point, but your primary KPI, as I recall, was mostly fill rates as opposed to perhaps forecasting demand levels. So what gives you confidence that the second half is the right time to assume a snapback in that business?
John Engel: Good question, Sam. First, we do have a couple of new customer wins that start their ramp-ups here in the first quarter, build through the second quarter, and are reaching much higher run rates of sales in the second half. So irrespective of the market, those wins occurred in the second half of 2024. So we enter the year with those, and they're both very meaningful. So we're very much encouraged by that. Secondly, Jim Cameron and his team have had deep discussions with all our utility customers, and I think that, given the secular growth trends we're seeing, the change in the administration in the U.S., and the fact that we think customers, on behalf and with us, have been working down their inventory levels, there's a view that as we get through the first quarter through the second quarter, moving into the latter part of the second quarter into the second half, that utilities will turn back the purchasing engine back on. I think overall, our view of the overwhelmingly strong secular growth trends through the entire utility power chain remains intact. As I've mentioned quite a few times, all these other secular growth trends we're talking about require one thing: power. So we're going to have an overall increase in the power demand curve as far as we can see. And that's going to pull on capacity. It's going to mandate that utilities invest in increasing their capacity for generation through transmission substations and then obviously through the distribution portion of the power chain.
Sam Darkatsh: Thank you. My second question, Dave, you mentioned that you expect gross margins to be up slightly for the year. I'm guessing, especially because of the easy comparison in the first quarter, that you're anticipating gross margins to be up all year long. Is that a fair representation?
Dave Schulz: Yeah, it's a fair representation. I would point you to the fact that we did have a peak in the third quarter. Again, a lot of that will be predicated on what is the mix of the business and the impact on gross margin. As we think about the full year, one of the benefits we are expecting on gross margin is the higher supplier volume rebates. Our supplier volume rebates in 2024 were at one of the lowest historical levels that we've had. So we do expect that to increase, particularly as we look at growth at the higher end of our range. At the midpoint, we would still expect supplier volume rebates to benefit gross margin in 2025.
Operator: Thank you. Your next question today will come from Tommy Moll with Stephens. Please go ahead.
Tommy Moll: Good morning, and thank you for taking my questions.
John Engel: Morning, Tommy.
Tommy Moll: John, thanks so much for the gross margin insight at the segment level. Maybe in the future, we'll get it at the business unit as well. For the moment, could you just give us some of the backstory here on what was the decision-making process on going ahead and providing that disclosure and what you want to make sure we take away?
Dave Schulz: Yeah. Hey, Tommy. It's Dave Schulz. So there is a new requirement from the SEC that companies filing after December 15, 2024, are required to provide key segment expenses. And when you take a look at the composition and the profit structure of our business, one of the key drivers of our profitability is obviously gross margin. So, you know, we are disclosing that. You'll see that in our 10-K, which will be released here probably at the end of the week or early next week. You'll see three years of detail within the segment footnote, disclosing the gross profit and then the adjusted SG&A as well. So we do intend to continue to disclose the gross margin at the SBU level. From our perspective, it is complying with the SEC regulation.
Tommy Moll: Thank you. And, Dave, a follow-up on your comments regarding redeeming the preferreds. It's really a two-part question. As you laid out your EPS guidance range for the year, how many quarters are you assuming we'll have that roughly $14 million headwind there? And then as you redeem these in the June time frame, is the expectation you'll be able to fully redeem with cash on hand, or there would potentially need to be partial debt financing just given the timing of cash flows? Thanks.
Dave Schulz: Yeah, Tommy. We fully intend to redeem the preferred. That means that we'll pay the two quarters' worth of the dividend on that preferred stock. We will evaluate how we fund that redemption, whether it's with a combination of cash on hand, borrowing against existing facilities, or depending on the market, whether we would go out and issue an additional note. One thing to keep in mind as we provided you with those key modeling assumptions for 2025, we have assumed a range on interest expense, which based on the current rate environment, it's almost agnostic whether we use our existing facilities or we finance that with a new note.
Tommy Moll: Thank you. I'll turn it back.
Operator: And your next question today will come from David Manthey with Baird. Please go ahead.
David Manthey: Yeah. Thank you. Good morning. Dave, just a question on SG&A. You've mentioned the reset of the incentive comp, but you also, I believe, have a 3% annual merit increase. And remind me, does that hit April 1st? And then in light of those two items, could you provide any color on how SG&A steps from 4Q to 1Q and then from the first quarter into the second quarter progressively?
Dave Schulz: Certainly. The merit increase that we've assumed, the 20 to 30 basis points, our typical merit increase is effective on April 1. So as we think about the sequential impact to SG&A moving from Q4 of '24 to Q1, we would expect an uptick. And that uptick in the sequential increase is primarily going to be driven by that incentive compensation. We then move from Q1 to Q2, there will be the step-up related to a low single-digit increase in our people cost.
David Manthey: Okay. And then second, if we adjust for the WIS divestiture, I believe UBS segment EBITDA was one of the lowest rates that we've seen in many quarters. Has there been any structural change in UBS profitability as we go forward, or with growth as we accelerate into 2025, do you expect to return to more of that sort of 11% plus EBITDA margins we saw in '23 and early '24?
Dave Schulz: Yeah. Well, let me provide a little bit of background on the integrated supply divestiture. So, you know, we have spoken about that having a lower gross margin. And when we strip out the impact of integrated supply on gross margin, there was favorability to the total company, but that was primarily offset by an increase in SG&A due to the lack of the operating leverage. So overall, the integrated supply divestiture at the company level was a slight favorable on adjusted EBITDA margin on a low single-digit basis point. So really no meaningful impact. Within utility and broadband solutions, yes, there was a benefit from WIS coming up from a gross margin perspective. The business actually performed extremely well and managed gross margin effectively well in 2024. The margin pressure was really coming from SG&A on the lower sales. So this is a very efficiently run business. As those sales continue to decline, you can see from the slide that we just didn't get the operating leverage from the business within UBS. I would say that that's less from integrated supply coming out, more from the down throughout 2024. They're coming forward with the return to growth. I think Dave had a comment, you know, question around operating leverage going forward. Yeah. Absolutely. So this business runs very efficiently. So as we see a return to growth on the top line, we would fully anticipate that we will get the margin benefit on adjusted EBITDA.
David Manthey: Great. Thank you, and good luck.
Operator: Thanks, Dave. And your next question today will come from Deane Dray with RBC Capital Markets. Please go ahead.
Deane Dray: Thank you. Good morning, everyone.
Dave Schulz: Morning, Deane.
Deane Dray: Hey. Can we put the spotlight on the good start to January? Just take us through the composition of the business, you know, stock and flow, what kind of mix, direct ship, any kind of pricing difference versus what you saw in the fourth quarter? Just some color there would be really helpful.
John Engel: Yeah. Yes. We're really pleased, Deane, with once the calendar turned, how January ended up. I will mention that it actually started a bit soft. So it was interesting. I don't know if this has come out in any of the other companies that have had their earnings calls. But the softness that we saw, you know, kind of this two-speed January. Right? Second half of December, that is, that was soft. Kind of January started off a bit soft for a week or so or a little longer than a week, but then kicked into gear. So it's really nice to see the momentum. You know, as we exit January at a 5% plus growth rate, that's ex-M&A. So it's a good sense. Now there's some headwinds in January too because FX has picked up substantially to start Q1 of 2025 versus where this is in Q4 of 2024. So that just, I think, calibrates the 5% a bit. In terms of overall mix, Deane, it's really an extension of what we saw in the fourth quarter. So no material mix changes in January thus far. I will say the bookings were very strong. So book-to-bill was above 1.0, strongly above 1.0. And margins were very stable. So, you know, very good start. We feel good about it.
Deane Dray: That's great color. And then just as a follow-up, maybe we can visit tariffs, what the risks are. You guys have a playbook. I know you've been through this before. So just talk about preparation. And then anything around the metals, I know this is all late-breaking. You're just going to have to keep your spreadsheet open as these changes happen on the fly. But just if you could share with us your current thinking.
John Engel: Yeah. We do have a playbook. It's a well-developed playbook. We've been through this before. I think, you know, take you back to the first Trump administration, look at what, you know, look at tariffs that were put in place, look at, you know, we took all the appropriate actions and, you know, were able to manage our margins very well through that process. I'll just remind everyone that we have very, very low, I'll call it first derivative direct exposure because our private label business is a very small percent of our overall business. So where we see the effect on the supply side of our business is with our supplier partners. And, you know, that's the exposure we have. We work with them and through and together with them to push the pricing through. Net-net for distribution, look, we don't want to have to put the price increases through to our customers. But we absolutely will, and we'll do that, and we'll protect our margins. We have a strong history of doing that. So the way to really think about tariffs is to the extent it drives an inflationary effect on the supply side of our distribution business model, we take that, we work it through to our customers, continue to sell our value-add capabilities, and work that pricing through. So I think this will just speak to an environment where inflation stays, you know, higher than maybe some are expecting. And that is our outlook as we move through 2025.
Deane Dray: Great color. Thank you.
Operator: And your next question today will come from Christopher Glynn with Oppenheimer. Please go ahead.
Christopher Glynn: Thanks. Good morning. So I was curious about comparing the public power versus IOUs at utility, John. I think the slides called out public as kind of weak.
John Engel: We saw in the fourth quarter, Chris, both public power and investor-owned utilities, you know, those two respective sets of end-user customers in utility were down mid-single digits. So we actually saw similar headwinds with both. As we take a look on a full-year basis, you know, I would say that probably a little stronger with industrial and utilities versus public power in general. But, you know, look, I wouldn't really call out any major differences. The utility effects that we saw are really market-driven. And, you know, driven by customers, but it's kind of a market-driven set of effects.
Christopher Glynn: Okay. Thanks. And then on E&I, the declines there were a little steeper. Was that kind of a noisy quarter for E&I with some of the particular kind of December effects more acute in that business maybe? Was it kind of an air pocket or think the market's stepping down a bit more?
John Engel: Yeah. Look, I think your characterization is accurate. A little bit of softness in the second half of December there. Look, overall CSS really terrific momentum, we build across the year. Exit the year with very strong data center momentum, very strong improvement and a return to growth in security. It happened in the year. One thing I will call out, I don't want to get too deep into it, but we are pulling all data center sales related to data centers and we're reporting that as data center sales. That includes security. Again, we're bundling other CSS products and it includes core enterprise network infrastructure. I think when you look at security, like for like, just as a category, we have mid-single-digit growth in Q4. It was a return to growth. So good, very good, I'll call it broad-based momentum across CSS. I would not call out E&I as being kind of a real weak spot. Again, if you look at some of the categories of products that were classically in E&I before we broke out data centers, you know, it would have looked much stronger in the quarter. I hope that helps, Chris, because I think it's probably the hardest your question was.
Christopher Glynn: Yeah. Yep. Appreciate that. Thanks.
Operator: Your next question today will come from Stephen Volkmann with Jefferies. Please go ahead.
Stephen Volkmann: Great. Thank you, guys. Dave, I wanted to dig into something you said, I think earlier when you were talking about data centers and large customer projects, which maybe come at a little bit lower margin than and provide a little bit of a headwind. But maybe over time, there's more service. So I'm curious as we continue to see data centers grow much faster than the rest of the business, is that still kind of a margin headwind as we go forward, or do you get that service more quickly and it kind of normalizes?
Dave Schulz: It normalizes. And so just to provide a little bit more color on this one, particularly in the fourth quarter, we saw a lot more of the early phases of these data center builds and those were direct ships for many of those larger customers. So, you know, just like the balance of our business, whenever we have a direct shipment, it never touches our warehouse. We don't service it. It basically goes directly from the manufacturer to the job site. So the gross margins on that always tend to be low. And that's one of the things that impacted our CSS margins in Q4. But as we begin working with the customer to operate that facility, there is that opportunity for more products and services to be sold through to that customer, which will come at the higher margin, particularly if we can attach it to the services portfolio that we've continued to expand, including with the acquisitions that we completed in 2024. So, you know, it is a margin story that we would expect to normalize. That's been our experience with other large customers in the past.
Stephen Volkmann: Got it. Okay. Thanks. And then just switching over to free cash flow. I guess I might have expected a little bit more this year just in the sense that, you know, we spent a couple of years well below the 100%. It seems like we have some ground to work to get back to sort of that five-year average. So maybe the way to think about that is working capital to sales ratio is still quite a bit higher than pre-COVID. You know, does that get meaningfully lower from here? How do we think about that?
Dave Schulz: We would expect it to get meaningfully lower in 2025. And we've highlighted, you know, we do at the midpoint of our outlook. We do expect continued growth in 2025 consistent with what we provided to you. So yeah, if you take a look at just the midpoint of that, from where we started with net working capital at the end of 2024, we've highlighted that we would anticipate that our net working capital would grow at half the rate of sales. So just looking at the midpoint of our outlook, you know, assign that 1% increase in net working capital that will drive further efficiency overall on net working capital. Also, please keep in mind that from an overall inventory requirement, John mentioned we've got some new accounts in utility. So that will require us to fill inventory requirements earlier than we begin to see the sales. So there will be some lumpiness in our net working capital, particularly in the first quarter, as we begin building out for some of those new customers. But overall, we would expect continued efficiency to net working capital through the end of 2025.
Stephen Volkmann: Okay. Thank you.
Operator: Your next question today will come from Ken Newman with KeyBanc Capital Markets. Please go ahead.
Ken Newman: Hey, good morning, guys.
Dave Schulz: Good morning, Ken.
Ken Newman: You know, maybe first I just wanted to get a quick clarification, Dave, from an earlier question. First, is the earnings guidance that you outlined on slide fifteen or fourteen, does that include a full year of the preferred dividend, or is that not the case?
Dave Schulz: That is not the case. So it assumes that we have half a year of the dividend payout. So roughly $14 million a quarter. We'll pay that for the first two quarters of 2025. That is included in our outlook.
Ken Newman: Got it. Okay. And then for my follow-up here, I just wanted to run back to the 1Q organic growth guide and then just trying to square that against the 5% that you saw in January. Given that it does look like the comps do step down sequentially in February and March, do you think January is just a normalization from a snapback from that slower back half of December, slower first half of January, or help us kind of understand the assumptions underlying that first-quarter guide?
Dave Schulz: Yes. Certainly. So the 5% that we talked about for the month of January, preliminary sales growth, it is against an easier comp. It does not include the impact of M&A. So it's adjusted for the M&A impact in the month of January. As you think about how January shaped up relative to the fourth quarter, the composition of our businesses was about the same. We continue to see strong growth from CSS. We're still seeing some challenges within UBS. We expect those challenges in UBS to recover in the second half of the year. But in terms of where we're seeing the full quarter, you know, as John mentioned, we've got a couple of new contracts within the utility space. We've got a backlog that is still at a near-record high level. So from that perspective, yes, the comps get tougher in February and March, but, you know, excluding the M&A impact, the low to mid-single-digit outlook is appropriate.
Ken Newman: Very good. Appreciate the color.
Operator: Your next question today will come from Patrick Baumann with JPMorgan. Please go ahead.
Patrick Baumann: Hi. Good morning.
Dave Schulz: Morning, Patrick.
Patrick Baumann: I had a question first maybe on the sales cadence through the year. It looks to me like the first quarter you're guiding down about 1% on a workday-adjusted basis versus the fourth quarter. And historically, my math says it's typically down 4% to 5% on a workday-adjusted basis sequentially. So what this means, I think, is you'd need below seasonal trends for the rest of the year to hit the midpoint of your guide. Are there any large projects maybe for data center construction that are coming off from the first half to the second half that would cause this or any other color you could provide on why that would be?
Dave Schulz: Certainly. So we provided you our expectations for Q1. One of the key drivers to the phasing of the quarters throughout the year is the timing of the recovery on utility. And we've talked about that being more in the second half. So that will influence the growth rates that we would expect to see in the first half of the year with an expansion in the second half of this year. So in terms of how, you know, the outlook would lay out, we would expect that, you know, from a reported sales perspective, it will be light in Q1 as we've already provided you that information, and then we would begin to see an improvement through Q2 through Q4, primarily driven by continued benefit from that data center growth, the EES business for the full year being on a reported basis flat to up low single digits, and that back half recovery on utility.
Patrick Baumann: Okay. On the US construction market for 2025, can you talk about that flat outlook that you have, you know, maybe by vertical? You mentioned solar as a headwind in the fourth quarter. Any other color you can offer, you know, in terms of vertical line markets? And then also with the E&I segment, I guess, that's also related to construction, why that's flat? Maybe just flush out kind of the construction outlook across the different segments, I guess.
Dave Schulz: Yeah. We're still seeing and having expectations for considerable growth in the data center space. That will impact our EES business as well. Across some of the other verticals within non-residential construction, we're not expecting there to be any significant growth opportunities, you know, in the office space. There are some pickups in non-residential construction related to manufacturing and then also within the healthcare space. So those are the verticals that right now, you know, we're targeting. And, again, most of our business in that construction space will be on the non-residential side. You know, that's where our exposure is. We're also comping, we primarily finished the comparisons that have been negative on solar. So we won't see that downdraft on solar in our construction business. As it relates to E&I, again, that business is influenced by both new construction plus renovation jobs. Some of it is office-related. Some of it's manufacturing-related. So that's what's also informing our outlook for enterprise network infrastructure. Those same impacts to our EES construction business will be impacting our E&I business.
Patrick Baumann: Got it. And one more just really quick one, housekeeping. On the Ascent deal that you guys did, you booked, like, $30 million in the quarter. Which for one month of ownership seemed like a big number. What's, like, the right run rate of sales for this business, and why would the fourth quarter have been so high in terms of sales contribution from that business?
Dave Schulz: Yeah. On the Ascent acquisition, that was completed in December. One of the things that we had already talked about publicly was that, you know, when we acquired the business, it had run rate sales of about $115 million per year, but it was growing at a 30% rate. We did have a very strong December within our CSS business, contributing with Ascent contributing to that growth rate. We've not provided any other specifics. We do anticipate that that business will continue to grow consistent with what we've already shared. Think about it in growing double digits with the capability that we are providing within the data center space.
Patrick Baumann: Okay. Thanks a lot. Best of luck.
Operator: This concludes our question and answer session. I'll now turn the conference back over to John Engel for any closing remarks.
John Engel: Thank you all again for your support. It's much appreciated. We've addressed all the questions that got teed up during the call. I know we have a lot of calls lined up through this afternoon, tomorrow, and I think some after the weekend as well. So I'll bring the call to a close. In terms of future events, we look forward to speaking with many of you over the next two months as well. We'll be attending the Raymond James Institutional Investor Conference on March 4th, the JPMorgan Industrial Conference on March 12th, and the Distributed Tech Conference on March 25th. So with that, oh, and we roll out our first-quarter earnings on Thursday, May 1st. So with that, I'll bring the call to a close. Again, thank you, and have a good day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.